Operator: Greetings and welcome to Thermon Group Holdings Inc.'s Earnings Call for the Second Quarter 2025. At this time, all participants are on a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ivonne Salem, Vice President, FP&A and IR. Thank you. You may begin.
Ivonne Salem: Good morning and thank you for joining Thermon Group's fiscal 2025 second quarter results conference call. Leading the call today are CEO, Bruce Thames; and Chief Financial Officer, Jan Schott. Earlier this morning we issued an earnings press release which has been filed with the SEC on Form 8-K and is also available on the Investor Relations section of our website. Additionally, the slides for this conference call can be found in our IR website under News & Events IR Calendar Earnings Conference Call Q2 2025. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures in the tables at the end of the earnings press release. These non-GAAP measures should be considered in addition to and not as a substitute for measures of financial performance reported in accordance with GAAP. I would like to remind you that, during this call, we might make certain forward-looking statements regarding our company. Please refer to our Annual Report and most recently quarterly report filed with the SEC for more information regarding our forward-looking statements including the risks and uncertainties that could impact our future results. Our actual results might differ materially from those contemplated by these forward-looking statements and we undertake no obligation to publicly update any forward looking statements whether as a result of new information, future developments or otherwise, except as might be required by law. Today's call will begin with remarks from our CEO, Bruce Thames, who will provide a review of our recent business performance including an update on the progress we have made on our strategic initiatives, followed by a financial update and review of our CFO, Jan Schott. Bruce will then wrap up our prepared remarks with an update on our business outlook. At the conclusion of these prepared remarks, we will open the line for questions. With that, I'll turn the call over to Bruce.
Bruce Thames: Well, thank you, Ivonne, and good morning to everyone joining us on the call today. Before I begin my comments, I'd first like to start by welcoming our new Chief Financial Officer, Jan Schott. Jan is a proven public company finance executive who brings significant financial expertise and deep capital markets experience to Thermon. We're very excited and fortunate to have her joining our team. Jan, welcome aboard. I and the rest of the management team are looking forward to working with you. Turning now to Slide 3, during the second quarter we remained laser focused on executing against our strategic priorities highlighted by improved bookings momentum, further progress on our operational excellence initiatives, and another quarter of financial discipline leading to strong free cash flow generation. In addition, we executed against our stated capital allocation priorities with the acquisition of F.A.T.I. and the return of capital through our share repurchase program. I think it's important to highlight that while we continue to effectively manage costs to the current level of demand, we've not wavered on our capital allocation to advance strategic initiatives while augmenting our organic growth. Since the start of the calendar year, we've acquired Vapor Power, which increased our exposure to more diverse end markets and electrification. This integration is going well and we're pleased with the strong level of market demand that we're seeing for these products. Just last month we announced the acquisition of F.A.T.I., significantly expanding our geographic footprint in the Eastern Hemisphere. In spite of some short-term weakness in capital spending, we have continued to invest in our organic growth initiatives to further strengthen our competitive positioning over the long term. So with that, I'd like to turn to the second quarter starting on Slide 4. We were very pleased with the improved order momentum we're experiencing during the second quarter, with orders up nearly 13% on a reported basis and 3% excluding the benefit from Vapor Power, resulting in an organic book-to-bill of almost 1.17 times. The strength was generally broad based and while we're still seeing extended decision cycles and some uncertainty from customers primarily on larger capital projects, we are encouraged by the growing opportunities pipeline and improved order momentum. As a result of the improved order trends, our quarter ending backlog increased 29% on a reported basis and was up 3% organically. The timing of our backlog remains somewhat extended with many of the project wins currently in engineering with execution planned in fiscal 2026, which is a positive trend going forward. After generating 23% year-over-year organic growth in a record FY24 Q2, our revenues declined by 7.4% year-over-year, which was in line with our expectations as the contribution from Vapor Power and stability from our materials revenue were offset by continued weakness in large project revenues and the timing of revenue recognition. Excluding Vapor Power, our revenues declined roughly 17% on an organic basis, driven by a 51% decline in our large project revenue during the quarter. Our short cycle OpEx revenues, which consist of our materials revenues and small project business remained a stabilizing force during the second quarter, with revenues down only modestly as customers continue to focus on maintenance and repair spending. This balance in our model is a function of our focus on diversifying your end market exposure and growing our installed base of customers. The result is a more resilient and stable revenue base through the cycle. As we detail on Slide 5, our materials and small project revenues represent over 80% of our revenues on a trailing 12 month basis, while our large project revenues were only 20% of the total. Our current mix provides a more stable and predictable revenue stream as well as a more profitable mix, given our OpEx revenues consistently generate higher gross margins. Our OpEx revenues have grown nearly 11% on a TTM basis and have increased over 1% organically, while our large project revenue has declined 20%. The growth in our OpEx revenue despite the uneven demand environment over the last several quarters highlights the benefit of our deep installed base and recurring revenue exposure. Another key aspect of our strategy you've heard me discuss has been our goal to reduce exposure to the oil and gas sector. As I discussed last quarter, we have achieved our fiscal year 2026 goal of generating at least 70% of revenues from diversified end markets. We remain committed to maintaining or further improving this metric, and while we did see a slight rebound in oil and gas bookings during our Q2, we still generated just over 70% of orders from diversified end markets during the period. It's important to note that we're not moving away from large projects, and large projects will always be an important driver of our business to enable growing the installed base. We have begun to see some signs of movement in large capital projects this quarter. In fact, we secured a large multi-year transit order in excess of $8 million, driven by infrastructure investments in a large Canadian carpet capture polyethylene unit valued at over 8 million as well. Our pipeline of sales opportunities has now grown to over 1.2 billion, with roughly 320 million in decarbonization opportunities, and we believe that we are well-positioned to benefit as large project spending trends improve. We don't believe there are any longer-term factors driving the recent project weakness. With the elections behind us, we're optimistic that sales cycles will start to normalize as customers gain more clarity moving forward. Turning now to Slide 6 on our strategic pillars; since I've already given you some color on our installed base and our diversification efforts, I'd like to take a moment to update you on our most recent acquisition, followed by an example of the nice [Phonetic] energy transition market opportunity we're seeing. Turning now to Slide 7, on October 2nd, we completed the acquisition of F.A.T.I., an industrial heater business based in Milan, Italy. F.A.T.I. has a 79 year history, a list of loyal customers and is very well respected brand for high quality heaters and demanding industrial applications. Their certifications and customer approvals are key and accelerating our ability to serve growing markets for electrification and decarbonization in Europe and across the Eastern Hemisphere. Revenues on a trailing 12 basis were roughly 13 million. The business is also experiencing strong demand growth and they currently have a backlog in excess of 15 million with a robust pipeline of incoming opportunities. The purchase price of 12.5 million Euros is roughly equivalent to one year of sales. We're excited to welcome the F.A.T.I. team to Thermon and are already engaged to drive operational improvements to increase capacity to grow the business while expanding operating margins. Turning now to Slide 8; as various technologies compete to provide a more sustainable energy future, and electrification and data centers are driving increased electricity demand, we're seeing nuclear reemerge as a key piece of the future low carbon energy mix. Historically, Thermon has supplied heaters and filtration systems to the nuclear market through our Caloritech heater line and 3L filtration systems. Base loaded power generation stations are now required to operate more flexibly with frequent shutdowns and restarts on short notice. While new assets can start quickly, they require staying warm during downtime for rapid startup, often using auxiliary steam to maintain high temperatures and pressures. Here's an example where we're delivering an 8.2 megawatt precision electrode boiler that can quickly deliver high pressure, high temperature steam to enable rapid startup for a nuclear power plant. Other opportunities we see in this space are for refurbishment of existing facilities and small modular reactors known as SMRs. With that, I'd like to turn it over to our new CFO, Jan Schott, who will provide a more detailed review of our second quarter results before I wrap up with some remarks on our financial outlook. Jan?
Jan Schott: Thank you, Bruce, and good morning everyone. I'm very excited to be here with you all today. It has been less than a month since I joined Thermon, but it is already clear we have a strong finance team in place. I look forward to working with Bruce, the executive leadership team and our finance organization, as we continue to execute on our strategic plan and continue the tradition of strong execution and operational excellence at Thermon. I also look forward to meeting our analysts and investors and building strong relationships with the investment community. So with that I will get into our financial review. During my discussion I will provide some additional details on the quarter, give an update on our working capital and free cash flow, and conclude with a commentary on our balance sheet and liquidity. Moving now to Slide 9 and our second quarter performance; revenue in the second quarter was 115 million, a year-over-year decrease of 7.4%, as continued headwinds in our large project business was partially offset by the contribution from Vapor Power and stable performance in our OpEx revenues. Vapor Power contributed 12.1 million of revenue during the second quarter. Excluding Vapor Power, second quarter organic sales decreased 17% versus a record 2024 quarter two. Large project revenue was 17.5 million during the second quarter, down 51% from the same period last year as customers continue to delay decisions on large capital projects, as Bruce mentioned previously. This weakness was generally broad based across our different market verticals. While large project spending was weak, our OpEx revenues were 97.2 million during the second quarter, an increase of 10% compared to last year, as our customers continue to prioritize maintenance and repair spending, given the market uncertainty. Excluding Vapor Power, our OpEx revenues decreased 3.5% in the quarter. While we are disappointed in this result, the modest year-over-year decline, despite the challenging capital spending environment, demonstrates the benefits of our long-term customer relationships, deep installed base and resilient OpEx spending. From a geographic perspective, we saw sales decline in US, LAM, EMEA and APAC with a sales increase in Canada of 2%. We have seen the most pronounced decline in capital spending in US and LAM. Adjusted EBITDA was 23.8 million during the second quarter, down from 27.7 million last year due to declines in our project revenue and continued investments in growth initiatives, partially offset by the contribution from Vapor Power and the benefits of our cost rationalization efforts. Adjusted EBITDA margin was 20.8% during the second quarter, down from 22.4% in the same period last year, largely due to volume shortfall year-over-year. Margins benefited from an increased mix of materials revenue during the quarter, which generally carries higher gross margin. However, this was offset by the investments we continue to make in our strategic initiatives and lower project margins versus last year. During the second quarter we completed the previously discussed consolidation of our rail and transit production lines from Denver into our San Marcos facility, which is part of our manufacturing rooftop consolidation program. As a result, we are on track to achieve our targeted $5.7 million in annualized savings. We continue to expect just over 4 million in realized savings during fiscal 2025. Orders during the second quarter were 131.1 million compared to 116.3 million in the same period last year, an increase of 13%. On an organic basis, orders increased 3%. We saw broad momentum in our order trends, highlighted by notable strength in petrochem, transit and oil and gas. Importantly, our decarbonization bookings increased 6% year-over-year and over 70% of our incoming orders in the quarter were once again from diverse end markets. As a result of the solid order momentum, backlog was 214.9 million at the end of the second quarter, up 29% compared to a backlog of 166.9 million as of the second quarter last year. Excluding backlog attributable to Vapor Power of 43.6 million, backlog increased 3% on an organic basis. Moving to Slide 10 for an update on our balance sheet and liquidity; net working capital was 31.7% of sales during the quarter, down from 33.6% last year, as we continue to optimize our supply chain while also improving lead times and on time deliveries to our customers. CapEx was 1.8 million during second quarter of 2025, down from 2.8 million last year. As a result of our strict financial discipline, free cash flow was 6.7 million in the quarter, an improvement of $6.1 million versus last year. Through the first half of the fiscal year, we have generated just over $15 million in free cash flow versus the cash usage of 1 million in the first half of last year. We expect our continued focus on working capital management combined with our expectation of solid operating results to deliver another year of strong free cash flow conversion. We paid down roughly $3 million of term debt during the quarter, bringing our net debt balance to 129 million. Net leverage was 1.3 times at the end of the second quarter. Net leverage is down from 1.5 times immediately following the acquisition of Vapor Power. Based on our total cash and available liquidity of 129.8 million, we remain well capitalized and have ample flexibility to continue to support our capital needs. Assuming no additional acquisitions, we expect to target incremental debt pay down of $20 million to $30 million during fiscal 2025 combined with opportunistic share repurchases. In summary, we are pleased with our financial execution during the quarter, as we made further progress on operational excellence initiatives and we generated strong free cash flow based on our stable operating performance and continued strict financial discipline. With that, I will turn the call back over to Bruce.
Bruce Thames: Thanks Jan. Now if you'll turn to Slide 11, we'll wrap up with our outlook for fiscal 2025. We continue to execute at a high level and are making important progress on our key strategic initiatives. I'm encouraged by our improved order trends over the last two quarters and am optimistic we'll see further momentum as we move forward. The long term secular trends that positively impact many of our important end markets remain favorable and we're well positioned to benefit from these drivers going forward. However, we're not totally immune to the weakness we're experiencing in the large project market and the push out of project timing. While over the last two quarters we're seeing the improved order momentum that was needed to drive our second half results, execution timelines of projects in backlog extend beyond our current fiscal year. As a result of these factors, we're adjusting our full year 2025 guidance as follows. We expect revenue in the range of 495 million to 515 million, which includes expected revenue from recent acquisitions. Adjusted EBITDA is now expected to range from 105 million to 110 million and adjusted EPS in a range of $1.77 to $1.89 per share. We think it's important to highlight that we continue to focus on our operational excellence initiatives and are carefully managing cost of current revenue levels, enabling us to protect earnings. Finally, just to wrap up things on Slide 12, we're optimistic as ever for our business and the opportunities ahead remain as strong as ever. Our recent results demonstrate the progress we've made in developing a business that is more stable, profitable and durable across cycles. Our large and growing installed base of loyal customers provides us with a resilient aftermarket franchise, which gives us access to a steady stream of predictable and highly profitable MRO [Phonetic] revenues. We also remain well positioned to benefit from several powerful secular growth drivers and these trends have not changed despite the recent macroeconomic uncertainty. These secular drivers include the energy transition and decarbonization, onshoring in North America and infrastructure spending. We remain confident that these trends are as powerful as ever and we believe that the recent spending delays only serve to create pent up demand when customer confidence improves. Lastly, we benefit from a high margin, low capital intensity business that yields significant cash flow. As Jan covered earlier, our free cash flow through the first half is up meaningfully from last year and we continue to maintain a strong financial position. This provides us the flexibility to pursue our capital allocation priorities and we've demonstrated this commitment to our strategy through the recent acquisitions of Vapor Power and F.A.T.I., ongoing investments in organic growth initiatives and execution under our share repurchase plan, all with a focus on creating long-term shareholder value. That completes our prepared remarks. We're now ready for the question-and-answer portion of our call.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Today's first question is coming from Justin Ages of CJS Securities. Please go ahead. .
Justin Ages: Hi, good morning and thanks for taking the questions.
Bruce Thames: Good morning, Justin.
Justin Ages: Yeah. And I look forward to working with you, Jan.
Jan Schott: Yes, absolutely. Nice to meet you on the phone.
Justin Ages: Yeah. And first question I have, the sales guidance, in the past you've given the contribution from Vapor Power. Can you give us any indication whether that's still tracking towards 55 million? Just kind of want to triangulate an organic growth for the sales guidance.
Bruce Thames: Yes. So yes, we do believe that the Vapor business is still tracking in that $55 million to $57 million range, looking forward for the balance of the year. Our backlog there is quite strong, so the real challenge is growing capacity to ship and should we be able to execute on that, we could possibly see some upside. But right now we're forecasting in that $55 million to $57 million range and that's included in the guidance.
Justin Ages: Okay, that's helpful, thanks. And the next last question, if I could, interesting to call out the presence in nuclear, given the data center demand. Can you give us any more color on this current size of what that end market is to your business or any other details?
Bruce Thames: Yes. So as we look at just the pipeline of opportunities, and the pipeline is roughly about 1.2 billion. We see the current nuclear opportunities roughly about 4% of that. We have some other very large opportunities that are not included in that. Number one is a large expansion of an existing facility and another is around small modular reactors. Those are about 100 million, but they've not necessarily -- there's not plans yet to move forward. So we're seeing some growing opportunities in that space.
Justin Ages: All right, thanks. I appreciate you taking the questions.
Bruce Thames: Thank you, Justin.
Operator: Thank you. The next question is coming from Brian Drab of William Blair. Please go ahead.
Brian Drab: Good morning. Thanks for taking my questions. Jan, nice to meet you. Looking forward to working with you.
Jan Schott: Nice to meet you. Yep.
Brian Drab: I first just wanted to ask about the large project activity. I guess I'm wondering now that we're past the election, does that affect the probability that some of these projects start to get released and/or is that really not what was holding it up and just what's the outlook for some of that activity coming back?
Bruce Thames: Yeah, Brian, I can't necessarily speak for customers, but they're -- certainly with the elections behind us, I think you get clarity moving forward and certainly policy is going to drive pace. So I think that will be important and I think there'll be more clarity moving forward. So, we believe it's probably going to be -- have a positive impact on overall activity. The good news is we continue to see that pipeline of opportunities grow and we actually began to see some of these projects move forward during the quarter. I noted a couple of them. One in a large carbon capture petrochemical project and the other a large multi-year rail and transit project that's tied to infrastructure spending. So those are a couple of examples of what we're seeing. And certainly as we look at the pipeline of opportunity and quotations, it would indicate that the opportunities ahead are growing, not contracting. So at some point we would expect customers to begin to move forward.
Brian Drab: Okay, and then next question, just on the weather and thinking back to last year and the unusually warm weather we had in Canada in particular, what are you seeing as you're heading into the -- getting into the heating season now and, are you -- you have some very easy comps obviously with the weather and I guess I'll just leave it there for a second and then I have a follow up on that.
Bruce Thames: Yeah, so I'm not a meteorologist, so I can't predict the weather, but we are seeing nice material sales which we noted during the quarter and that has continued into the beginning of this quarter, so we see that momentum. We also are just expectations as we're planning, we're planning for more of a normalized winter ahead. I mean that's typically how we plan. And as we look at this, when we look at just the weakness in revenues, it's really on the large capital project side. And as I said, our backlog, our organic backlog is growing. So we had two positive book-to-bill quarters. This quarter we actually saw year-over-year bookings growth, so we see that backlog growing. Right now, just the bulk of those projects, the timing of execution is out into early 2026 and right now we're heavily involved in engineering and design in anticipation of material shipments and any field execution.
Brian Drab: Okay. And then I was just going to say could you remind me, isn't some of that product that you ship into the Canadian region? I guess I think it's some of the mineral insulated cable, if I remember correctly is relatively high margin and I'm just wondering -- I'm trying to if there's a positive year-over-year comparison coming potentially. There's a lot of talk about La Nina Winter and who knows. Again we're not meteorologists obviously, but trying to find opportunity here.
Bruce Thames: Well, I would make a couple comments. First of all, if you recall last year our Canadian business was quite weak. Coming into this year, our Canadian business is actually up year-over-year. So we've seen that not only bottom out but begin to improve. So I would just say that is more on the general business activity and overall economic conditions we're seeing. So I think that's certainly a positive sign. And then as you say our Canadian operations because of the harsh climates they tend to have the very high temperature types of products which tend to drive higher margin profile. So yes, stronger sales in Canada equals better gross margins certainly.
Brian Drab: And then just last question. Can you repeat what you said about the decarbonization pipeline? I just missed the number that you said. What percentage of the 1.2 is that and how did that grow?
Bruce Thames: It's grown to roughly 320 million of that 1.2 billion.
Brian Drab: Got it. Okay, thank you very much.
Bruce Thames: Thank you.
Operator: [Operator Instructions] Our next question is coming from John Bratz of Oppenheimer. Please go ahead.
Jon Braatz: Good morning everyone. And Jan, welcome aboard.
Jan Schott: Thanks so much. Look forward to working with you.
Jon Braatz: Bruce. I don't know, maybe I missed it. But the large projects that are being pushed out, are they in the your more traditional oil and gas markets or are they elsewhere?
Bruce Thames: Right now, overall, our oil and gas activity I would say is down. As we look at this and we look at the project opportunities and large capital projects, first and foremost, just our backlog of those opportunities are down, but then also we see some execution and I would say we're seeing timing of some of these change. It's broad based. There's a large -- there's some large projects in renewables that we're seeing being somewhat delayed due to some permitting issues. We've got things that are just typical project delays. Execution is lagging, particularly there's one large project in semiconductors that's lagging. We've got a large pharmaceutical project that we would expect to start to generate revenues later this year, it's in the engineering stages. So there's just -- if you think about the project timing, a lot of the projects we have now are in engineering. And the large petrochemical project we just booked with carbon capture storage, that's going to be in engineering for the back half of this year and revenues will start early in 2026. So what we see is some nice momentum building into 2026 as we grow the backlog and we see order activity improve on larger capital project spending.
Jon Braatz: Okay, okay. And Bruce, in your conversations with your customers, clients, obviously we have a new administration coming in who sort of favors oil and gas, and maybe drilling. And do you get the sense that any of these alternative energy projects, decarbonization, things like those, might be put more on a back burner and there's more of an emphasis on oil and gas? Do you think there's going to be any shift in the business opportunities that you're seeing currently?
Bruce Thames: I think first and foremost the reduction in uncertainty by having a known outcome I think is positive overall for business. I think the good news is that we stand to benefit no matter which direction. Policy takes us going forward. We have still 30% of our revenues are in the oil and gas sector and we will benefit if those spending patterns improve. And conversely, we've got opportunities in the decarbonization space as well. So it'll be interesting to see how policy evolves and impacts. I think if you look historically, there are certain areas that spending may be favored, particularly as you look at how the IRA dollars may be spent that will support certain technologies and maybe challenge others. So I think policy will drive pace and we'll see that evolve over the next, say, 6 to 12 months.
Jon Braatz: Okay. Okay. And Jan, spending -- the SGA spend maybe a little bit more than what I was looking for. You talk about spending on some of the initiatives to develop your business further. Would you see that spending rate continuing on for a while or some of the heavier spending behind us now?
Jan Schott: I think going forward we would expect that to not to trend downward. We did see an increase in SG&A for the Vapor Power acquisition this quarter, but our organic was actually 3% down. That's consistent with our long term strategy.
Jon Braatz: Okay, thank you, Jan.
Operator: Thank you. [Operator Instructions] At this time, I'd like to turn the floor back over to Mr. Thames for closing comments.
Bruce Thames: All right, thank you. And again, I'd like to thank all of our Thermon employees around the globe that are serving our customers with excellence each and every day. So thank you for all that you do. And I'd also like to thank all of you for your time and your interest in Thermon. And if we don't speak during the quarter, I look forward to spending time with you on our next quarterly call. So thank you and have a good day.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time and enjoy the rest of your day.